Operator: Welcome to the Amyris Second Quarter 2021 Financial Results Conference Call. This call is being webcast live on the Events page of the Investors section of the Amyris’ website at amyris.com. As a reminder, today’s call is being recorded. You may listen to a webcast replay of this call by going to the Investors section of Amyris’ website. I would now like to turn the call over to Han Kieftenbeld, Chief Financial Officer of Amyris. Please go ahead.
Han Kieftenbeld: Thank you, Andrea. And good morning and good afternoon. Thank you all for joining us today. With me are John Melo, President and Chief Executive Officer; and Eduardo Alvarez, Chief Operating Officer. This morning, John will provide a business update, Eduardo will share operational performance highlights, and I will review our financial results for the quarter. Please note that on this call you will hear discussions of non-GAAP financial measures, including but not limited to underlying sales revenue, gross margin, cash operating expense and adjusted EBITDA. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are contained in the financial summary section slides of the accompanying presentation or the press release distributed today, which is available on our website. The current report on Form 8-K furnished with respect to our press release is also available on our website as well as on the SEC’s website. During this call, we will make forward-looking statements about future events and circumstances including Amyris’ outlook for 2021 and beyond. Amyris’ goals and strategic priorities, anticipated transactions and other future milestones as well as market opportunities and growth prospects. These statements are based on management’s current expectations and actual results and future events may differ materially due to risks and uncertainties, including those detailed from time-to-time in our filings with the Securities and Exchange Commission, including our 10-K for full year 2020. Amyris disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events, or otherwise. Before we begin today, I’d like to note that included in our webcast is a slide presentation we will refer to. The slides will also be posted on the Investor Relations section of Amyris’ website following the call. I’ll now turn the call over to John. John Melo Thank you, Han. First of all, good morning everyone and thank you for joining us today. I'll provide a business overview as it relates to our lab-to-market science and technology, our ingredients pipeline and our consumer brands. And we'll also speak to our expectations for 2021 and our five-year strategic ambition. With the second quarter we completed a strong quarter of strategic and operational execution, we delivered another record of underlying revenue growth driven by another record of consumer revenue, while significantly improving our margins year-over-year. The quarter was a great moment where we have more sales than we were able to ship before the close. We had orders for $2.4 million of products $600,000 in consumer sales and $1.8 million ingredients that did not get shipped in time to make the quarter. This strong order momentum has continued into the third quarter. From an operational perspective, we had a record quarter in our consumer business. Without the revenue contribution of any new brands, as such, this is a true like-for-like comparison to last year. We are experiencing very robust consumer spending in beauty and personal care products across most major markets. Biossance doubled revenue versus the prior year quarter. We witnessed a strong contribution from brick-and-mortar in the quarter as a result of easing pandemic restrictions in North America and the U.K. The performance of our brands is evidence of the rapidly growing consumer demand for high performance affordable and sustainable Clean Beauty products. We delivered another solid quarter of growth for our ingredient business. This is the first quarter with our flavors and fragrance ingredient business performing post to DSM strategic transaction we've completed in the first quarter of this year. The partnership is operating very well and delivering strong growth as we expected. We expect this growth to continue into the third quarter. We expect full year ingredient growth around 30% and to continue in the 30% to 40% range over the next several years. The first half of 2021 demonstrated strong year-over-year growth on all aspects of revenue. The second half of this year looks very robust. And we continue to see strong demand for our consumer brands and ingredient products with strong year-over-year and sequential growth. 2021 is on track to be another record year with expected total revenue north of $400 million and positive adjusted EBITDA for the full year. Our first half, was really about key strategic moves and setting up our second half. Our second half will be driven by operational revenue and consumer growth. At Amyris, we have integrated our business model from molecule to consumer product, which is driven by our lab-to-market science and technology. This is delivering the best revenue growth margins and the leading financial performance in our sector. We expect to continue this advantage level of performance over the next several years. We are experiencing the most growth ever in our product development pipeline and significant interest from current and potential new partnerships. At the heart of our ingredients pipeline is clean chemistry and sustainability. Since the start of the pandemic, there is a tremendous consumer pool towards clean, natural and sustainably produced products. We are leading this transition to clean chemistry and believe that we deliver more bio manufactured products than the aggregate of our entire sector. We have been deliberate in our choice of clean beauty, personal care, health and wellness markets. These markets are high growth, high margin and capital light. The global beauty and personal care market is expected to be $716 billion by 2025 growing with 7% cumulative annual growth rate, North America and Asia Pacific represents 75% of the global market. We believe that Clean Beauty will become the beauty industry, a segment for which we are viewed as leaders and which is growing at double the rate of the regular personal care market. We added four new brands to our portfolio during the quarter. These brands are a great fit and plug-in to our platform. They have brought with them outstanding talent. This includes the CEO who built [indiscernible], one of the world's leading designers, amazing new marketers and great brand builders. These new brands will all consume our ingredients and become an accelerator to our revenue growth. These are also been great financial transactions. In aggregate, we are paying less than two times revenue upfront, and we are funding most of this with Amyris equity. In total, we have used less than 1% of our outstanding share count for these acquisitions. We expect our consumer business to more than double this year and continue growing at this rate for the next several years. We are well prepared to invest in fund the full potential of our consumer brand portfolio from the proceeds of our future earnouts from the recent strategic ingredient transactions. We have estimated over $250 million in earnout payments and we are tracking to achieve our earnout targets. We believe there are three stages in the journey from lab-to-market. Technology leadership, the platform has to work, scale up and manufacturing at -- scale the manufacturing excellence. It is one thing to have technology, but it has to translate to making real products that are purchased by real people in real markets that are growing. And last but not least, adoption at scale. Great products that aren't adopted by the market don't matter. The science is hard, but scale up in manufacturing is much harder to execute. At Amyris, we successfully develop, scale and commercialize. We are a platform company that leads the sector with science that's designed solutions with the [indiscernible]. We work with partners to identify the market opportunity drive adoption and determine what attributes make a real difference in formulation. We have successfully commercialized over 13 molecules from idea to successful production and commercialization. Each of our molecules reached over $1 million in revenue in their first year of commercialization, and most of them are currently the world's leading source of the respective chemistry. We are successfully remaking the world one molecule at a time And healthier for all. We have expanded the number of ingredients in active development from 18 to 24, during the second quarter, from both existing partnerships and ingredients for our own direct ingredients sales and consumer brands. In addition to the technology and development to scale, we have completed proof-of-concept for on over 250 different molecules made sustainably from fermentation using our technology. Several of these molecules are under current contract by the U.S. government and on the path to scale up. By way of example, one of these ingredients that we are developing for our direct use is hyaluronic acid, a work course of the beauty industry, and a core product focused on helping us all look better. And when we make it from our technology, and through fermentation, it's a clean source of hyaluronic acid, which means it is likely to perform better be lower cost and be super impactful for the consumers that use it. We expect to commercialize four to six new core ingredients annually to 2025. Each of these ingredients are for addressable market sizes well in excess of $1 billion. We expect on average our ingredients and products and development to be worth $50 million to $100 million within two to three years of initial commercialization. We base this on our success of licensing these technologies to DSM ingredient, and many other earlier technology licensing events. Another area of technology we made significant progress through the second quarter is our RNA vaccine technology. We are very pleased to partner with that with Dr. Patrick Shui-Chung. He's a proven inventor and entrepreneur in biotech, and one of his companies is the first license for our RNA technology. We believe we have the most effective booster shot for COVID along with the best delivery system for RNA vaccines. We are expecting to be in human trials in South Africa very soon, and if successful, helping patients by early next year. The first license covers our total investment in this technology with the upfront payments and the milestone payments, and also covers the costs of the human clinical trials. The partnership with Patrick also includes access to manufacturing capacity for our vaccine. We have not included any of that vaccine potential in our future forecasts, and will not do that until we have complete visibility. Let's now talk about our ingredients. Our ingredients6 business is performing very well across the board. We had a very strong quarter for flavor and fragrance ingredients, with record setting volume for some of the products and accelerated growth as many of these ingredients are used in the personal care market, where we are continuing to experience very strong demand across most regions. We expect European demand to accelerate as we see many consumer companies in the personal care arena returned to full production in the second half of this year. Our partnership with DSM is working very well in this space. We are expanding the number of molecules we are working on with our partners, while volume for the established molecules continues to grow at a 30% or better rate annually. Our beauty and personal care ingredients sold directly by Amyris are also doing very well. We have another record quarter for Squalane and Hemi-Squalane combined. Hemi-Squalane is an incredible molecule that we invented and then scale to our lab-to-market platform. It's a replacement for silicones and it's the perfect product to improve the performance of shampoos, body wash, soaps and many other products that wash off your body. These silicones don't perform well and delivering real impact to the consumer. They are not healthy and they pollute our water systems. They are outlawed for use in Europe and should be banned in the U.S. The global haircare market alone is around $75 billion. This ingredient generates millions in revenue for our ingredient business currently and soon will be a significant point of differentiation in our consumer business as we launch our Jonathan Van Ness brand JVN. Our sweetener business also performed very well and delivered a record revenue quarter. We are very pleased with our new partnership with Ingredion and already have developed a list of molecule targets that we are both excited about developing and commercializing. We have successfully executed from the lab-to-mark on all our commercialization efforts over the last 10 years. We learned some very hard lessons when we first entered manufacturing and scale up in 2011. Those lessons have shaped us and have made us the best in the industry at targeting, developing, scaling, manufacturing and commercializing amazing chemistry that's making our world better. Our newest ingredients are performing well. CBG and our breakthrough formulation are well set to deliver a superior treatment for the acne market, and we expect to quickly become a leader in this $11.5 billion global market. We will be hosting an investor event to provide a deep dive into the performance of this ingredient, and the breakthrough formulation. We plan to include before and after stories and an interview with a leading dermatologist. We are on track to launch this product through our Terasana brand over the next few weeks. But let's now dive deep into our consumer business. Our consumer business delivered another record quarter. We've developed and launched brands consumers love. We exceed consumer expectations and this has led to brands with a very high level of repeat purchase and brands that are super efficient at attracting and converting new customers. We expect our new to be launched brands to have a strong uptake in the second half. Remember, we had none of these brands in the first half. We have already realized much of this with a pre-launch orders and demand from retailers. The remainder of the year will add revenue from Rose Inc., JVN, Costa Brazil, Terasana and the Olika brand. We will also bring in two consumer businesses named MGM Power, one of the leading agencies and management services for influencers and beauty labs, an amazing technology company delivering technology applications that engage the consumer online. These will also contribute to our revenue in the second half. We executed and delivered great performance across all four key drivers of the consumer business in the second quarter. First new brands, we will be launching five new brands, we acquired several new brands. new brands are a key part of our growth strategy of using our ingredients and of leveraging our development platform, our marketing platform, our product platform and our channel partners like Sephora. New doors, we added over 10,000 new retail doors for selling of our brands. This is well beyond all of our expectations. New products, we added significant new product launches across both Pipette and Biossance and this newness was very well received by consumers and contribute to the significant growth in new customers along with a strong repeat purchase for our existing customer base. nd then lastly new customers as the fourth driver of growth in our consumer business. We started the year with about 1 million consumers visiting our consumer websites monthly. I expect we will end the third quarter with nearly 2 million consumers per month. This is coming from the strong awareness our brands are building and the attraction and success of our brands along with the amazing performance of our products. We have a unique capability to identify unique opportunities and execute on these opportunities with brands consumers desire and products they love. This is all curated in detail from identifying a market need for clean color cosmetics that deliver superior performance to selecting a very unique partner that has a unique understanding of cosmetics and a passion to deliver outstanding performance while setting an aspirational reach for the consumer and being super accessible in her voice. We then match this perfect combination of a market whitespace with an amazing new ingredient that we discovered from our waste stream in this case Biosilica. We then apply our world leading formulation capability and brand building skills. And this is the making of Rose Inc. one of our latest brands, a brand that is already loved by all that have met it -- met with it and have been introduced to the product. A brand that is likely to deliver over $20 million in revenue in its full -- in its first full year of sales. We are repeating this with the JVM brand a different market, a different partnering hero in Jonathan Van Ness and a different ingredient that revolutionizes how a shampoo works and delivers the best performing hair care in the market. In this example, we are removing silicones from haircare cleaning up our water systems and delivering a revolution and how is shampoo works. We've just announced our partnership with Naomi Watts to focus on empowering the 1 billion women who are expected to be in menopause by 2025. These women deserve to be celebrated and not afraid to talk about the challenges they face and the needs they have at this amazing stage where they should be celebrating the stripes they've earned in their lives. This will come with amazing products for skin, hair, gut health and intimacy. We will repeat our formula a unique ingredient, an amazing brand, the best performing product in the category, an amazing partner in Naomi, who has experienced many struggles with menopause and has a unique voice to engage and empower women throughout the world. Our consumer business is where we generate the greatest revenue from each unit of production. Think about it, just 5% of our Squalane production can generate $267 million in revenue is sold through our consumer business, but only $2.2 million if it's sold through our ingredient business. We have already started this revenue upgrade in volume from ingredients to consumer for several of our products and you'll see more of this in the coming quarters. As we accelerate our revenue growth from the same production footprint. Every kilo of Squalane is worth 100 times more in revenue when used in one of our consumer products. Now, let me spend a few minutes on our five-year strategic horizon. Before I speak to our five-year strategic horizon, let me address the balance of this current year to provide you with the bridge to our full year expectation. We are already experiencing and are expecting a robust second half. The consumer revenue is tracking towards an estimated $125 millions of revenue for the second half. While ingredients collaborations and licensing revenue is expected to be in the $50 million to $55 million range. The ingredient revenue is all about maintaining our current growth rate and benefiting from continued robust consumer demand for personal care products and a continued transition to sustainable and health focused ingredients by consumer. Second half consumer revenue is driven by continuing the current growth trend from our existing consumer brands, while benefiting from the seasonality of the fourth quarter with its holiday shopping season. We expect our new consumer brands and services to contribute about 30% of the $125 million of seconds -- of expected second half consumer revenue. We expect full year revenue to be north of $400 million and full year adjusted EBITDA to be positive for the first time in the company's history. We set ambitious operational and financial goals. And we believe that our winning business model and advantage portfolio is well positioned to achieve an estimated $2 billion in revenue during 2025. We believe this is two times what our nearest competitors are capable of based on what's been disclosed publicly. Given the high growth expectation for the consumer portfolio and the end-markets we have chosen to serve. The portfolio is expected to ship further towards consumer from 40% of total revenue in 2020 to 72% of total revenue by 2025. Targeted 2025 consumer revenue is around $1.4 billion from our expanded family of brands. Meanwhile, we also expect to continue to grow our ingredients business to a total of about $0.5 billion, with a total of 30 molecules being scaled and actively being manufactured. We are very excited about the future and believe that we have the technology, the products, the brands and the people [indiscernible] five-year deal. Expect us to comment more on our five-year trajectory in future investor calls. Our purpose is to accelerate the world's transition to sustainable consumption. Our ingredients are found in 20,000 products around the world and reached 300 million consumers a year. We promote diversity, equity and inclusion and have established scholarships for minorities, to name a few. We believe that for our business to be financially sustainable, we have to create, manufacture and sell sustainable products that consumers want and love. This is what motivates us and we believe this will be core to our long-term success. We have a simple business model. We use our leading synthetic biology platform to make the world's leading chemistry from sustainable sources and provide access of these ingredients to all. We used our consumer brands to accelerate commercialization, and access to these ingredients. These brands set the standards for consumer expectations. Once our brands set the standards for consumer expectations and demand, they demand the same kind of performance from all brands around the world. This drives greater demand for clean ingredients and drives growth for our ingredient business. This drives our growth makes our planet healthier to clean sustainable chemistry, who in their right mind would choose the early chemistry made from non sustainable sources when you can have better performance for less cost and do no harm to our planet using Amyris brands and Amyris technology. With that, let me turn the call over to Eduardo.
Eduardo Alvarez: Thank you, John and good morning. Today I will cover our second quarter production and operations results provide an update on our ingredient activity. Describe the scale up of our consumer operations and brands and concluded with an update on construction activity on our new Brazil ingredients plant. Let me start with the ingredient production. We delivered three key ingredient sales record this quarter. First, we delivered record Squalane sales and continue to see strong market demand and growth across all regions. North America was up 57% and Europe up 98% year-on-year. And we continue to see growing innovation and adoption for new brands in China. We see market leader leadership for our squealing continue to grow as our consumers we place Squalane traditionally sourced from shark liver an olive trees and as they average hold Argan Oil formulations with growing pace. Patchouli, we delivered our largest quarter on record for our Reb M zero calorie sweetener, representing more than 100% growth year-on-year. Third, we completed our third and largest CBG production campaign to-date. This campaign delivered five times the volume than our previous one completed last December. We also are very pleased to exceed the fermentation and purification targets by more than 20% during this campaign, we are scaling production in anticipation to the great interest and demand from the Acne product for Terasana that we will be launching later this month. As John mentioned CBG just like Squalane is another example where we are managing and directing our CBG products to our brands and consumer formulations to both maximize value and to drive future demand and synergy in the B2B ingredients channel. We continue to focus on delivering process improvements and capturing benefits of additional economies of scales. For example, in the quarter, we achieved our largest and lowest cost for perpetually in our history, we are improvements in fermentation, productivity and recovery. In addition, our first half Hemi- Squalane production has already surpassed the entire volume we delivered in 2020. As we discuss Hemi-Squalane is going to be the key ingredient for our JVN hair brand being launched this month. Let me now share an update on our new ingredient programs. Starting with our pharma activities. We continue to delivering -- deliver excellent pre-clinical data on our RNA vaccine. And in the second quarter, we competed the licensing agreements with networks to bring the vaccine to Africa beginning with clinical trials in South Africa. Most recent tests confirm our vaccine performance and validates the significant distribution and manufacturing cost advantage of our lead-to-delivery particles, making it uniquely suitable for global distribution and affordability at a time where -- when growing an urgent need for the solution exists. For our adjuvant Squalane, we are in a critical phase of our process development, technology transfer and are planning to scale up -- the scale up to start by the end of this year. During the second quarter, we also fast track two new ingredients for development for the end of the year and for production in 2022. As you can see, we are accelerating our unique love-to-market capability to introduce four to six new molecules per year throughout the end of 2025. Moving to our brands, the second quarter was Biossance largest quarter of revenue ever. For example, our peak e-commerce monthly orders for biossance.com were 100% higher than the year prior peak to the year before. We also introduce three new Biossance products, we had great momentum and Pipette, where we converted five new retail channels. And when -- and where our peak e-commerce orders for May June promotion period were 80% higher than last year. We are leveraging our talent across brands and have capture synergies, formulating new products across categories like creams, balms, serums, and others. Using unique ingredients and accelerating innovation with efficacy. We completed 28 distinct product formulations using this approach. And all of them were in full production by the second quarter in time for the new brand launches in the third quarter. We also incur integrated procurement of all our raw materials, and secondary packaging to improve our resilience, pace and scale. Finally, we work with our partners to double the order processing and fulfillment capacity needed to grow with our brands, and have plans to scale up even more prior to the holiday season. Construction for the new fermentation planning Barra Bonita remains on schedule. As mentioned in the past, this plan will have five lines with a total of 10 production fermenters. This unique configuration balances scale with flexibility, allowing us to produce different products for each line concurrently. We have already installed six large 200,000 liter fermenters. And we are on track to compete construction this year and begin production in early 2022, Q1, 2022. Beyond this fermentation plan this new fermentation plan we have also begun designing a second fermentation and purification plant of similar size to the current one. We expect construction of the second plant to begin after completing commissioning of the first plant in the first quarter. We are confident that our production roadmap will support our continued product growth and are excited to share more details of this project in the future. I want to recognize our Brazil an engineering and production teams who are vigilant and focused on completing a large construction project. while dealing with a pandemic. We have a precedent over 350 workers at Barra Bonita site and have strict testing and separation protocols in place. As a result, we have had a great continuity and with the project and have had very limited number of cases. Let me finalize by starting by stating out our three priorities for the second half of 2021. Our major focus is on completing the critical path phase over plant construction during the next two quarters. Second, launch our new brands in August and delivered the best holiday season for all our existing new brands. Our third and final priority is to deliver five new ingredients I mentioned the three and scale up and the two that have already been fast tracked into product development. We are ready to stay focused and motivated to deliver the best second half yet. And with that, I'm going to turn the call over to Han to review financial results. Han?
Han Kieftenbeld: Thank you, Eduardo. Please turn to Slide 12. I'm pleased to report that we had a very successful quarter with record sales revenue, both on an underlying basis and for our consumer brands. And we also reported expanded gross margins. Since the close of Q1 we completed a third strategic ingredients transaction for our zero calorie Reb-M sweetener with ingredient. We record a $10 million in revenue in the second quarter for this transaction. We further reduced our debt position to $105 million. This compares to $171 million at the start of the year. And we have clear line of sight to debt being below $100 million by the end of this year. We also completed a successful equity raise with proceeds of $131 million early in the quarter. Cash at the end of the quarter was [$215] million, compared to $100 million at the end of Q1 -- of Q2, 2020. All these factors combined significantly improved our capital structure solidified our liquidity and provides for financial flexibility to support and accelerate growth. On Slide 13, total revenue of $52.3 million included records underlying and consumer revenue and include a $10 million of the proceeds from the strategic transaction that I just referenced. Total underlying revenue increased 41% to $42.3 million compared to Q2, 2020 revenue driven by a 59% increase in consumer sales and a 25% increase in ingredient sales. Q2 consumer revenue achieved the new record with Biossance doubling its revenue compared to the prior year quarter. Non-GAAP gross margin of $27 million or 51% of revenue improved from $11 million or 36% of revenue in Q2, 2020. Excluding a $10 million contribution from the strategic Reb-M sweetener transaction, gross margin of $17 million represented a $6 million improvement compared to Q2, 2020 due to consumer related margin growth. Cash operating expense in the quarter of $63 million increased by $20 million or 46% primarily due to a [$13] million increase in selling expense of which $5 million related to pre-launch investments in new consumer brands with no revenue in the quarter and $5 million to additional R&D spend. Prior year benefit is from reduced business activity due to COVID. Adjusted EBITDA of minus $42 million decreased $6 million year-over-year, due to higher operating expense partially offset by higher revenue improved gross margin and proceeds from the strategic transaction. GAAP net income was [$15] million, compared to a loss of $104 million in Q2, 2020 due to lower interest expense and favorable non-cash mark-to-market adjustments related to changes in the fair value of debt and derivatives. GAAP EPS was $0.05 compared to minus $0.56 in Q2, 2020 a $0.61 improvement. Adjusted net loss of $49 million or $0.15 per share improved $9 million or $0.16 per share, compared to an adjusted net loss of $58 million, or $0.31 loss per share for the prior year quarter. Interest expense for Q2, 2021 was $5 million. This compares to $20 million in Q2 of last year, due to reduce debt and a lower average interest rate. Let's turn to Slide 14, consumer revenue increased 32% sequentially and 59% compared to the second quarter of last year. Higher revenue was driven by improved brand awareness, consumer demand and increased levels of brick-and-mortar retail activity, resulting from an easing of restrictions in certain areas. Biossance generated the largest quarterly revenue in the brand's history. Direct-to-consumer sales through biossance.com remain strong. Internationally Biossance experienced strong growth particularly in Southeast Asia and Australia. The Pipette delivered strong quarterly revenue brand performance in Target stores was exceptional. With Pipette being recognized as a leading new brand in baby and homecare categories. Pipette recently finalized agreements to launch its bestselling items through multiple retail channels, including Rite Aid, Wakefern, Wegmans, KeHE and Kroger.com in 2021, and in 7,000 Walgreens stores during the first half of 2022. Direct-to-consumer sales through Pipettebaby.com and Amazon continued to grow during the second quarter. Second quarter ingredients revenue increased 30% sequentially and 25% versus the prior year quarter. evidencing Amyris has development scale up and manufacturing capabilities. Q2 saw record sales revenue for Squalane, one of Amyris is leading ingredients that is marketed through business-to-business channels, and is also a differentiating ingredient for formulation in our Clean Beauty and Personal Care products. Please turn to Slide 15. Let me make a few comments regarding the first half of 2021 financial performance. Total H1 revenue of $229 million improved 288% versus the prior year period. Total revenue included $154 million of proceeds resulting from strategic transactions. Total underlying revenue increased 39% to $76 million compared to $54 million in the first half of 2022 or 2020. Product revenue of $66 million increased $20 million or 44% compared to H1, 2020 driven by a [$14] million or 65% increase in consumer sales. Predominantly from Biossance, and a $6 million or 25% increase in ingredient sales, with growth seen from all ingredients. Non-GAAP gross margin of $187 million or 82% of revenue improved from $29 million or 50% of revenue in the first half of last year. Excluding the contribution from the strategic transactions, gross margin of $34 million represented a $10 million improvement compared to H1, 2020 due to consumer related margin growth. Adjusted EBITDA of $61 million improved $124 million year-over-year due to revenue and margin growth and proceeds from strategic transactions. Lastly, we much improved the balance sheet with debt down significantly, resulting in lower debt servicing expense, and we finished the quarter with total cash of $215 million, resulting in negative net debt of $110 million. Capital expenditure for the quarter was $9 million up from prior year due to the investments we are making in the Brazil ingredient plant. Let me now briefly cover the outlook for the full year. We have a number of activities on the way to continue to support the growth of our business and to ensure we execute effectively on the addition of the new grants and the continued development of our product development pipeline. We expected reported total revenue for the full year inclusive of strategic transaction to be [node] of $400 million. John provided the bridge as part of his comments. Continued growth combined with strategic transactions is expected to result in positive full year adjusted EBITDA. We expect debt to be below $100 million by year-end $50 million of which is convertible to equity. With that, I'll turn the call back over to John. John?
John Melo: Thanks, Han. We believe that we have a truly winning business model and advantage portfolio due to the synergy between our proprietary lab-to-market operating system, our ingredients, pipeline and track record and bio manufacturing, along with our portfolio of clean consumer brands. To make the world sustainable, our company needs to be sustainable, the simplification and growth of our portfolio. And our continued operational performance enables us to become one of the first companies in our sector to become financially self sustaining. We're very excited about the year ahead. And I look forward to hearing your questions. Andrea, can you please turn to questions?
Operator: We will now begin the question and answer session. [Operator Instructions] We will begin with questions via phone. We ask that you please limit yourself to one question and one follow up. At this time, we will pause momentarily to assemble our roster. And our first question will come from Doug Schenkel of Cowen. Please go ahead.
Doug Schenkel: Good morning, guys. Thanks for taking the questions. As always, you do a great job of outlining why you're so enthused about the long-term outlook. That said, I'm actually going to focus in a bit more on the quarter and the full year 2021 outlook and then I'm going to try to sneak in a third question on the long-term targets. So starting on the near-term, within core revenue, it for the year in terms of your guidance, it seems like you adjusted the mix of expected revenue within core specifically, it looks like you've increased what you expect for consumer revenue and reduced ingredient revenue expectation. So I want to make sure we have that right. And if so, it would be good to hear a little bit more detail on what gives you confidence in this outlook and the mix and specifically on ingredients. You came up $2.5 million below what we were looking for in Q2, why isn't ingredients progressing quite as planned. And then on the consumer side, how much of the increase for the year as a function of your belief that economic improvements will drive a more pronounced improvement as we move into holiday sales season in Q4?
John Melo: Doug, first of all, thank you for being on the call. And I'll give you a part of the answer then pass over to Han for the rest of it. And I'll deal with the specific question regarding the ingredients revenue in the second quarter, and then talk about the consumer for the second half, and then I'll leave Han to talk about the mix and then expectations. Regarding the ingredients in the second quarter from a unit level, we actually are above what we expected and planned for, from a revenue level one thing that occurred and we highlighted this in the last call, is as a result of moving the ingredients portfolio to DSM, there is a chunk of ingredient revenue. And I think we said in the last call about a third, that we actually no longer have in the portfolio, mainly because of some revenue associated with how value share works in our contract. So I just want to hit that direct and head on, we actually are seeing greater volume than expected. But there is a component of ingredients that's value share, that got passed on to DSM as part of the transaction. And that value share no longer comes in as revenue to us, or for that matter margin. And I think that's probably the only difference we have in ingredients. But I'll let Han talk to that. I think the second part is on -- and by the way, we now have a good baseline because we have finished our first quarter full quarter with the DSM partnership, we've got a very good view about what the future of that ingredient portfolio looks like. And as I said, during the call, we now feel more confident than we had before. And the underlying performance of that portfolio, and how well it's growing. I mean, remember, we have 2,000 salespeople between fermentation [indiscernible], that are actually selling these ingredients every day to industry. I think on the consumer for the second half. I think what we're seeing right now, and we're already into the third quarter, right what we're seeing right now is very robust demand for our new brands. And the existing brands really picking up steam going into the second half. So we're seeing the demand. We see that in some of our markets, the brick-and-mortar business is picking up getting very close to not quite yet, but very close to pre-COVID levels of demand. And the combination of that plus, not losing a beat in our direct-to-consumer online business, which now represents about half if not slightly more than half of our revenue really gives us very good confidence in that second half revenue. So again, [indiscernible] direct-to-consumer, brick-and-mortar coming back a lot, a series of new brands that have had great traction with retailers, predominantly Sephora for some of the new brands, and then new product introductions that we expect to perform well as we go into the second half. So I hope that helps with your question about consumer and our confidence in the second half. And then the ingredient piece in the second quarter. Han anything you want to add regarding the expectation difference regarding ingredient performance in the second quarter the mix change?
Han Kieftenbeld: Let me let me just add. I would echo what John said. And the only thing I would add is just to put a number on the value share. So value share was part of the revenue stream that we had prior to passing on the F&F portfolio to DSM. On an annual basis we had around $6 million to $7 million on that number. So if you were to see a little bit of a shift, so at the start of the year before that transaction was fully executed, that would be perhaps the difference between, ingredients and the consumer portfolio other than that for the full year I don't think there is a particular shift between the two pieces.
Doug Schenkel: All right.
John Melo: I think the only piece I'd add Han is, it is clear Doug that we now have more confidence and more momentum going into the second half in consumer than we saw coming into the year. So there is a bit of greater emphasis in revenue source from consumer than we might have thought earlier on. So I'll just end with that.
Doug Schenkel: Okay, that's all helpful on the quarter and on the mix. In terms of what's embedded into guidance. Listen, you guys sound great. And clearly there's a lot of momentum here, I think that the biggest pushback we get from investors, at least on the near-term outlook, and by extension from folks who aren't as enthused about the story is, how back-end loaded the year is and I think you guys did a good job trying to address that by talking about where you have momentum and why you have so much confidence in the core revenue ramp. That that being said, John or Han if you don't get there? Is it you -- if something were to go wrong relative to your targets is the most -- we are going to work what's the most likely thing that would have gone wrong? Is it something like, as you just talked about John, brick-and-mortar doesn't come back as strong, because of Delta variant or something like that, like, what -- where's the biggest risk to your second half outlook?
John Melo: Doug -- I would tell you to two things Doug. In -- I think you hit one of them, right? We are seeing a very strong recovery in brick-and-mortar. We're expecting that to stay I mean, we're not assuming at all stage, because we think there was a bit of a reaction or kind of a big bump, as consumers were able to get back in store. So we are being conservative. But that is a risk, we have gone into the second half. Look, I think here's the other one. Events are a big part of our business activity, getting influencers engaged, we've just in the last four weeks probably have two or three groups of influencers and key marketers of the brand back in our facilities engaged face-to-face, right. So if for some reason, Delta variant becomes a much bigger issue, especially in the North American market, and we have to shut down events, as we go into the fourth quarter and stop the physical engagement again. That could be the negative or a negative impact on revenue. The last time that occurred, we actually bounced back very strong and did not see a big, negative impact. However, those are risks, right? So I would focus on those two, because mostly everything else like the brick-and-mortar orders for the new brands, the traction for the new brands, the product response, the before and after, the clinicals, the influencer engagement, which are all the key drivers of our consumer growth are all in place. And we're seeing the traction on those already. I think it's the unexpected, and it's really around what the Delta variant or other variants could affect regarding people getting together and the brick-and-mortar for the second half.
Doug Schenkel: Okay, super helpful. Last one, and then I'll let others jump in. Longer term as we think about the 2025 targets, I just -- I'm curious, can you get there with Squalene derived products it is -- are to those targets require expansion into other areas, other engineered [organism] lines or anything like that? Or is it as essentially, do you believe you can get to those numbers with, what you already have in place today?
John Melo: Yes, on the consumer part, I think there's two parts of those numbers, right. There's the $1.4 billion on consumer. And then there's the ingredient and technology part. On the consumer part all of that is based on the current brand portfolio. So not any new brands, not any expansion in new ingredients. And it's really focused on our core platform ingredients, right Squalene, Hemi-Squalene, Biosilica and CBG. So all technology that's currently scaled and producing, and all brands that are currently in the portfolio it includes the current channel partners and a gradual expansion into the European market, which we already have, clear line of sight on, we'll be working with our partner Sephora, as well as the direct-to-consumer platform in Europe. So that's really what underpins the $1.4 billion. There's obviously opportunity for continue bolt-on acquisitions that we'll look at, but that is all upside and different than what we put in that $2 billion number of what you're getting $1.4 or so is consumer.
Doug Schenkel: Okay, thanks again, guys.
John Melo: Thanks. Doug.
Operator: The next question comes from Colin Rusch of Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. Could you just highlight the key gating items for the board has commissioning and ramp that you're watching for one just really be able to track that process, given the potential impact on gross market as you go forward?
John Melo: That's a that's an even wider question. I think he spends his life going to sleep and waking up dreaming about the Barra Bonita plant. I'm assuming you're talking about Barra Bonita Colin that --
Colin Rusch: Yes. you're right. I misspoke. Thank you.
John Melo: Eduardo?
Eduardo Alvarez: Yes, Colin good morning to you. We are really focused on the commissioning to basically verify every one of the operating systems that fermenters, the fermenting processing, support equipment, and then finally all the infrastructure including power and water and every one of those systems. We have all the permits needed and basically what we need to do is, in the beginning of the year, we're going to go very systematically standing up every one of the systems to make sure we can execute our processes and hold and basically do the sterilization holds necessary to for our septic fermentation production. Was there something specific Colin that you wanted to hear about those checks or I mean, it's a very structured and systematic process, as you can imagine.
Colin Rusch: Good, you guys alluded to this, going from the lab into actual production is crucial, right? And it's very, very difficult. And so what we're trying to get after is just the progress that you're making, and being able to track that progress and the maturity of the system because it put in place to ensure that you have a smooth ramp up?
John Melo: Yes, that's what I mentioned earlier is the critical path on the next two quarters. We're going to stand at one at a time and test them stress test them for full scale.
Colin Rusch: Okay. That’s helpful.
Eduardo Alvarez: The only thing I would add Colin is -- from a design perspective and hardware perspective, the plan is a bit cookie cutter, because we've taken all the learnings from the Barra’s facility and are replicating them. The team that's designing and doing the engineering is -- was part of the team that was involved in the Barra’s design. So I don't think the hardware is where we see kind of the critical path, I think it's people, it's recruiting the people, it's training them on our process, and it's ensuring that they operate the plant well. And because that's the critical path issue. We're actually in process of recruiting right now, we expect to have most of the operators hired early and shadowing our team. And we have an agreement with DSM, that a lot of the hires will actually shadow the operators that brought those. So when we start operating at Barra Bonita, we're running with a talented team that's already experienced, operating our process.
Colin Rusch: Perfect, that's super helpful. And then just in terms of the scale up on the operating side, and the organizational capacity as you guys think about this 2025 target. And having brought in these new brands, how should we be thinking about OpEx both from an R&D perspective, but also, from an overhead perspective on sales and organization capacity?
John Melo: I'm going to leave that one to Han to comment. And the only thing I'll say is, a lot of people think of the new brands as all additive costs. Actually, they provide a lot of efficiency, because we're able to like in formulations, we've built a world class formulation organization, we're making that even more robust. And that formulation, organization gets to be a single platform for all consumer brands. So every brand new ad, actually gets leverage half of the platform, same thing and how we manage our influencers. Same thing and how we do creative and same thing, how we do channel management for direct-to-consumer, and then how we manage some our brick-and-mortar partners, those are all platforms that cut across all brands. And we get significant benefit when we add a brand to do that. And it's really the marketing spend that's unique by brand and Han will reference how we're thinking about that. And as I referenced on the call, we understand what the investment required is to get a brand to profitability. We've crossed the profitability mark with Biossance, Biossance was profitable in the fourth quarter. And again, we expect to be very profitable for full year of this year. And then we know what it takes to get a brand to that level. And we've got that already figured in where we're going to resource that based on the milestone payments we have coming in from the big transactions. Han?
Han Kieftenbeld: Yes, absolutely. And John said it well, I think there's a couple of things today. So one is certainly if we look at the consumer side, which we project to be obviously around $1.4 billion by -- in over the next five years, there is significant leverage of talent, talent that we brought in as part of the acquisitions, but also that we have in the business across those brands. Squalene, the organization is very much top of mind for us at the leadership level. We're thinking about it not just at the brand level, we're thinking about it R&D we're also thinking about it in the G&A function. So there's a, there's a number of plans that we have underway to make sure we have the right structure and the right talent in way to do in place to deal with that not just this year but heading into the future given our fast growth. As we think about it from a cost base. Last year our SG&A was -- this year, our SG&A is around $180 million also projected. The thing to think about is in that is two aspects, right? It is the underpinnings of the organization. So that's headcount and other operating costs. But also in that, and this is important in the context our fast growing consumer business is all our fulfillment and shipping expense. So that -- there's a variable that's kind of somewhat proportionate to the growth of the consumer business. But fast forward, the way we thinking about it is that certainly leveraging the organization, R&D, G&A, and so forth, if you look at the marketing and sales side, also from a talent perspective, but then there's a variable component, and we see, that SG&A grow to around $400 million by 2025. So that gives you a bit of shape around it, and also some of the underpinnings. Thank you.
Colin Rusch: Perfect, thanks so much, guys.
Operator: In the interest of time, we would like to ask all participants to limit themselves to one question moving forward. And our next question will come from Laurence Alexander of Jeffries. Please go ahead.
Laurence Alexander: Good morning. So on -- can you flush out your thinking on hyaluronic acid, some of the other players in synthetic biology have entered and then exited that market. So what is Amyris doing differently?
John Melo: He Lauren's, good hearing from you. I think a few things. Number one, we've got a built-in need across our brand portfolios. Number two, as you know, several of our partners are significant players in supplying these products to the industry. And we wouldn't target if we didn't have a clear view in significant channel opportunity to drive this product to market. And then last but not least, look a big part of making clean, hyaluronic acid. A real market is all about the cost played cost has to be reduced. The chemistry has to be clean, the formulations have to be great. And we have to have a clear set of channel partners in clear demand in our own brands for it. So I think that's what I would say, I don't believe that others in our sector have been able to get to a cost of production that makes sense and we are.
Laurence Alexander: Okay. Thanks.
Operator: The next question comes from Amit Dayal of H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning, guys. Can you give us some sense contributions from Biossance As I said, for the second half of the year, I think the guidance range for the second half is $150 million to $155 million revenues. How much of this is Biossance and Pipette --
John Melo: Hey, Amit good having you on this call. I think we had provided some view about Biossance and Pipette full year, I think we said that Biossance was heading for about $105 million of revenue, and about $160 million or retail sales this year. And I can confirm that that's on track and looking very robust. And then I think we said on the call and my part of the script that we had about $130 -- Han, what was the total $103 million or so --?
Han Kieftenbeld: Yes, let me help a little bit. It's actually not that difficult. I mean, it's so John gave the outline in terms of full year consumer, we obviously know that we did $36 million in the first half of that full year, $35 million is linked to the new brands. So by deduction, from an existing brand perspective Biossance, Pipette predominantly, is the balance and obviously, John gave the Biossance number so we kind of have Pipette there. So that's kind of how the math works.
Amit Dayal: Understood. That's all thank you so much.
John Melo: Thank you.
Operator: The next question comes from Craig Irwin of Roth Capital Partners. Please go ahead.
Craig Irwin: Good morning, and thanks for taking my question. I just like for a clarification in the guidance. Can you say whether or not the $400 million revenue expectation for the year does or does not include any potential further portfolio management transactions?
John Melo: Craig, this is John. It does not include any assumption of any portfolio transaction in the second half, that portfolio meaning us selling something.
Craig Irwin: Yes, like the licensing agreements and do you sound --?
John Melo: Correct.
Craig Irwin: Yes. Okay. Excellent. Thank you so much for that clarification.
Operator: This concludes our..
John Melo: Okay, operator, yes, whether there is any final questions from any of the analysts otherwise, I think we're past the top of the hour.
Operator: Yes, there are no further questions at this time, so I will turn the conference back over to John Melo for closing remarks.
John Melo: Great. Thanks to everyone for joining us today and for your continued interest and support. If we did not get to your questions, please follow up with our Investor Relations team and we will make sure to get back to you with a response. We wish everyone best of luck for a healthy and successful rest of 2021. And we look forward to speaking with you during one of our upcoming investor events or some of our deep dives into our specific ingredients as we share more about what's differentiating our company. Thank you and have a good rest of the day.
Operator: The conference is now concluded. Thank you for attending today's presentation. And you may now disconnect.